Operator: Ladies and gentlemen, thank you for standing by. Welcome to Enerpac Tool Group's Fourth Quarter Fiscal 2025 Earnings Conference Call. As a reminder, this conference is being recorded, October 16, 2025. It is now my pleasure to turn the conference over to Travis Williams, Senior Director of Investor Relations. Please go ahead, Mr. Williams.
Travis Williams: Thank you, operator. Good morning, and thank you for joining us for Enerpac Tool Group's Fourth Quarter and Year-End Fiscal 2025 Earnings Call. On the call today to present the company's results are Paul Sternlieb, President and Chief Executive Officer; and Darren Kozik, Chief Financial Officer. The slides referenced on today's call are available on the Investor Relations section of the company's website, which you can download and follow along. A recording of today's call will also be made available on our website. Today's call will reference non-GAAP measures. You can find a reconciliation of GAAP to non-GAAP measures in the press release issued yesterday. Our comments will also include forward-looking statements that are subject to business risks that could cause actual results to be materially different. Those risks include matters noted in our latest SEC filings. With that, I will turn the call over to Paul.
Paul Sternlieb: Thanks, Travis. Good morning, and thank you for joining us for our year-end fiscal 2025 earnings call. As I look back at the year just ended, I am extremely proud of our team, our many achievements and the fundamentals that truly differentiate Enerpac. Obviously, we're operating in a very challenging and dynamic environment marked by ongoing weakness in the industrial sector and widespread economic uncertainty. That said, Enerpac posted record revenue in fiscal 2025. We also delivered a robust adjusted EBITDA margin of nearly 25% with opportunity for further improvement in the coming years. On the innovation front, we launched 5 new products with more to come in fiscal 2026. Notably, these products continue to ramp commercially. We successfully integrated the acquired DTA business, which, as Darren will elaborate, ended the year on a very strong note. And our E-commerce business continues to gain traction with customers, posting 32% growth in fiscal 2025. We've also continued the rollout of our disciplined commercial process, Enerpac Commercial Excellence, or ECX. As of year-end fiscal 2025, we began introduction into our third and final region, APAC. And in the fourth quarter, we repurchased a record $40 million in Enerpac stock, bringing the total for fiscal 2025 to $69 million. As we look to fiscal 2026, we are cautiously optimistic. While Europe remains a wildcard, the prospect of lower interest rates and greater certainty around tariff policy, along with healthy activity in the infrastructure sector are encouraging. Let me turn the call over to Darren, who will walk you through the highlights of fiscal 2025. He'll also provide our initial guidance for fiscal 2026, then I'll come back to share some more color on key initiatives and several exciting project wins. Darren?
Darren Kozik: Thanks, Paul. As seen on Slide 4, Enerpac's fiscal 2025 revenue of $617 million increased 5%. On an organic basis, adjusting for foreign exchange and the acquisition of DTA, we grew 1%, that put us near the midpoint of our previously provided guidance range as we benefited from multiple initiatives, continued strong performance at Cortland, growth in Heavy Lifting Technology, or HLT, and an excellent fourth quarter at DTA. At our IT&S business, revenue increased 1% organically for the year. Including DTA, IT&S revenue increased 4% with a 5% growth in Product Sales and a 1% growth in Service. As I mentioned, DTA's robust year-end performance brought us to full year revenue of $20 million. Enerpac's operational discipline and supply chain expertise is improving throughput at DTA's facility. At the same time, we are successfully cross-selling DTA's Horizontal Movement Technology to Enerpac's existing distributor and customer base. In fact, some 45% of DTA's orders were new or crossed over sales to existing Enerpac customers, demonstrating the power of commercial synergies that underscore the strategic value of the acquisition. Turning to Slide 5, which shows our performance by geography. We delivered growth in two of our three regions in fiscal 2025, with low single-digit growth in the Americas and strong high single-digit growth in APAC. Across Enerpac as a whole, we believe this is another year of share gains for the company. In APAC, our growth in 2025 was comprised of solid performance in Standard Products and even better growth in HLT. Geographically, we benefited from enhanced sales coverage in India, driving double-digit growth and have high expectations in fiscal 2026 and beyond. We also saw improvement in the mining industry in Australia, a sector that had been a soft spot. Overall, our investment in commercial leadership and sales coverage in APAC is paying dividends, as we capture share in the region. In the Americas, while standard product revenue was flat in fiscal 2025, we posted double-digit gains in HLT and Service revenue. We enjoyed good demand for the infrastructure, petrochemical and power generation markets, the latter of which includes some wins from the nuclear sector. On the other side, wind and general construction were weaker end markets in the region. Geographically, Latin America has been softer due to macroeconomic issues and tariff-related policies. Offsetting growth in the Americas and APAC was a mid-single-digit decline in the EMEA region. For fiscal 2025, revenue from Standard Products was about flat. However, our HLT business, while posting a relatively good year, was down compared with a very strong fiscal 2024. As a reminder, HLT is a capital equipment business and tends to be lumpy. In the EMEA region, there are several cross-currents going into fiscal 2026, including ongoing economic weakness in Central and Southern Europe. Nonetheless, we expect to benefit from good traction on the new product front and on a pickup in HLT, which will include DTA. We also expect to make further progress on our other key growth initiatives, including our continued focus on the infrastructure market, our ongoing digital transformation and additional enhancements to our ECX program, to name a few. Turning to Slide 6. For fiscal 2025, gross profit margin came in at 50.5%. The slight year-over-year decline was largely as expected, primarily driven by the inclusion of DTA and the mix in our Service business. On the selling, general and administrative expense line, adjusting for the restructuring charge and M&A expenses, SG&A improved by 80 basis points to 26.8% of revenue as compared to 27.6% in fiscal 2024. The company continues to optimize SG&A efficiency, including standardizing and automating processes and leveraging our lower cost centers of excellence. Altogether, our team managed through a complex and dynamic environment to deliver full year adjusted EBITDA growth of 4% to $154 million. That represented a margin of 24.9%, near the midpoint of our guidance. And for the full year, adjusted earnings per share of $1.81 compared with $1.72 in fiscal 2024 increased 5%. For the fourth quarter of fiscal 2025, revenue was up 6% with organic revenue decline of approximately 2% as gains in the Americas and APAC were offset by the performance of the EMEA region. Product revenue declined 1% year-over-year on an organic basis, while Service revenue declined 7%. Cortland continued to generate healthy growth, and as mentioned, DTA revenue expanded significantly to $9 million. Adjusted EBITDA increased 15% year-over-year and margins were strong at 26.5% for the fourth quarter, benefiting from the geographic mix and volume leverage at DTA. Adjusted EPS grew 4% to $0.52. Effective tax rate for adjusted EPS was 24.9% as compared to 15.7% in fiscal 2024. Share count was down about 2% year-over-year and the quarter. Turning to Slide 8. Given our extremely strong balance sheet and excellent cash flow, we continue to focus on opportunities to deploy capital. With early signs of a healthier and more robust M&A environment, coupled with incremental M&A resources, we expect to expand the funnel and increase deal flow. We will also continue to opportunistically return capital to shareholders. Speaking of which, since the authorization was approved by our Board in 2022, the company has returned approximately $240 million to shareholders through the repurchase of 9 million shares at an average cost of just below $27 per share. Today, we are pleased to announce that the Board has approved a new share repurchase authorization for $200 million, which we believe speaks to the confidence and our ability to continue to create meaningful shareholder value. On the balance sheet, net debt was $38 million at year-end, resulting in a net debt to adjusted EBITDA ratio of 0.3x. Total liquidity, including availability under our revolver and cash on hand, was $551 million. As you can see, we have ample financial flexibility to continue our balanced capital allocation strategy and are maintaining significant dry powder for our disciplined strategic M&A process. For fiscal 2025, cash flow from operations was $111 million compared with $81 million in fiscal 2024. Free cash flow of $92 million increased by $22 million or 32%, even with $8 million in incremental capital spending, primarily associated with the headquarters relocation as well as continued investments in our automated manufacturing capabilities and IT enhancements to improve efficiency and productivity. Per our practice, at year-end, we provide initial guidance for the year ahead, which is shown on Slide 9. Starting with the top line, we anticipate revenue of $635 million to $655 million with underlying organic growth of 1% to 4% with an assumption of the U.S. dollar to Euro exchange rate at $1.16. We believe our organic growth forecast represents Enerpac's continued out-performance relative to the industrial markets. The low end assumes little to no improvement in the macro environment, while the upper end of the range assumes a modest improvement. Our forecast for adjusted EBITDA is $158 million to $168 million. At the midpoint, that translates to year-over-year growth of 6% and an adjusted EBITDA margin of 25.3%. We are projecting free cash flow of $100 million to $110 million with CapEx of $10 million to $15 million. Also this year, we are introducing annual EPS guidance. For adjusted EPS, we are guiding to the range of $1.85 to $2. As you can see from this slide, we have included our modeling assumptions, including interest expense, depreciation and amortization, along with the adjusted tax rate. Our guidance also assumes no substantial change to the current tariff or regulatory environment. As for the first quarter of 2026, we expect some pressure on margins as higher tariff-impacted costs flow through the cost of goods sold. As we progress through the year, that should subside, based on the actions we have taken to offset higher input costs. As we discussed in our third quarter earnings call, we expect to be price/cost neutral for the full fiscal year. With that, let me turn it back to Paul.
Paul Sternlieb: Thanks, Darren. While conditions remain volatile in the industrial marketplace, we are excited about the specific actions Enerpac is taking to continue to gain market share. We have continued to invest across the organization under the Powering Enerpac Performance program, known as PEP, to drive continuous improvement as we simplify and automate the business, improve operational capabilities and support growth. On the Service side, we have been taking actions to capture more differentiated and value-added service opportunities, including investing in equipment to support higher-margin service lines. We are also changing our business model in certain countries to improve Service business margins. For example, in Algeria, we have transitioned from an agent-based to a direct model, which we expect to support long-term growth and profitability. And in fiscal 2025, we opened a new service center in Saudi Arabia, as you can see on Slide 10. Given expanding opportunities in the country and the broader Middle East region, we expect this to be a meaningful growth engine. We have also added new commercial capabilities and stronger leadership underpinned by ECX to continue to gain share. These teams are supported by our global marketing organization, which continues to drive awareness, brand recognition and lead generation. For example, in the fourth quarter, we executed a global campaign around our battery-powered torque wrench, a product line we launched in late fiscal 2024. With a full range of sizes, our lineup not only offers meticulous calibration, but a significant differentiator in terms of the tool's ease of use. With the campaign, which has included nearly 1,000 customer demos across the globe, we have significantly improved the size and quality of our sales funnel, as the market continues to respond well to this innovative technology. Moreover, this direct end-user interaction has helped drive valuable insights for our innovation road map. At the same time, we are employing 80/20 to further optimize our distribution channel. As shown on Slide 11, in fiscal 2025, we reduced the number of distributors globally by 13% to fewer than 800. By focusing on the most productive distributors, we can improve the efficiency of our channel relationships, commit resources to the highest return outcomes and win with the winners. And of course, during the year, we relocated to our new global headquarters in downtown Milwaukee. The move, which includes a substantially expanded innovation lab with significantly greater in-house capabilities also supports collaboration and our ability to attract top talent. Reflecting on our mission, it's always nice to showcase a few relevant examples of where we are helping our customers and where Enerpac plays an important role in high-profile projects. In fiscal 2024, we announced Enerpac's involvement in the massive Fehmarnbelt tunnel infrastructure project connecting Denmark to the rest of Europe, which will be the longest immersed tunnel in the world, when completed. We were pleased to receive significant follow-on orders associated with the project in the fourth quarter, demonstrating Enerpac's continued value for this important customer. Separately, we have been part of another major infrastructure project in Denmark, a bridge connecting Copenhagen to Fehmarn. As shown in Slide 12, using Enerpac's JS250 Jack-Up System, the 32-meter long and 8-meter wide bridge element weighing more than 100 tons was successfully positioned with millimeter precision. And in Saudi Arabia, Enerpac's HLT systems will support the building of a new football stadium in preparation for the 2034 World Cup. Finally, Enerpac was proud to be part of the relocation of a 160-year-old Swedish Church. Workers utilized Enerpac's EVO Synchronous Lifting System and 19 high-tonnage cylinders to carefully raise the nearly 700-ton structure onto a relocation rig. The 2-day move of the historic Wooden church to a new location was a major event in the country, drawing international media attention and even the King of Sweden. Our role in these projects highlights, how we live our mission every day and how Enerpac's technology makes complex, often hazardous jobs possible, safely and efficiently for our customers. Speaking of HLT, we will be exhibiting at CONEXPO in Las Vegas, the largest construction show in North America in March 2026. We believe our presence at large, well-attended industry shows like this, is a critical part of advancing the Enerpac brand, and this year's exhibit will be complemented by the inclusion of DTA's Horizontal Moving Technology. As you heard in our remarks, we are proud of the actions we have taken this past year to advance Enerpac's competitive position, and we remain excited about the future. Thank you to our team members worldwide for your ongoing commitment to our customers and partners and for making Enerpac a premier industrial tools and solutions provider. With that, we'd be happy to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Tom Hayes with ROTH Capital Partners.
Thomas Hayes: Paul, I was wondering, could we dig into the EMEA market a little bit? It seemed like it got a little bit weaker as the year progressed. Is that primarily Europe? Or maybe just kind of flesh that out a little bit? And then I know you don't give guidance by region, but maybe just your thoughts on the market conditions as the year starts?
Paul Sternlieb: Yes. Sure, Tom. Yes, I think it is primarily Europe. That's the bulk of our EMEA region, and I think we did see softening from a macro standpoint, I would say, particularly in Central and Southern Europe, which has been weak and persistently weak. And so I think that's been a challenge, just the macro. I would also say, in addition, our Service business in the region was lapping a pretty significantly large project that we had in Q4 of fiscal '24. So that was just another challenge on the year-over-year comp.
Thomas Hayes: Okay. So I mean -- so you should have relatively easier comps this year? I would assume.
Paul Sternlieb: Yes. I think assuming the macro doesn't worsen or gets better, yes.
Thomas Hayes: All right. Maybe shifting gears a little bit. Congratulations on the strong E-commerce performance. I know we've talked about it before, and it seems like it's taking off. If you can remind me, is that primarily U.S.? Or is that -- have you rolled that out globally now?
Paul Sternlieb: Sure. Yes, it's actually global. So we -- if you recall a few years ago, when we really started this effort, of course, we started in the U.S., and that's really well in place now, and we've been investing behind that. And then about 1 year or so into it, we did roll it out across most markets in Europe. I think we're in something like 18 or 20 countries in that region, including the U.K. And then we rolled it out in Australia about 1 year ago as well. So we'll still evaluate whether it makes sense to roll out in additional markets. Those will obviously be smaller. But at the same time, we're continuing to invest in the technology, the marketing, the analytics, just to continue to drive strong growth on our E-commerce business, which is margin accretive for us as well.
Thomas Hayes: Okay. Maybe just lastly on the DTA integration, looks like it really kind of picked up steam in the fourth quarter. Where are you seeing really good traction that maybe is either geographically or end markets that you think you still have further opportunities there? Because like you said, you've got about 45% of your revenue came from cross-sells. My guess is there's probably more opportunity out there. Just your general thoughts on DTA kind of going into year 2?
Paul Sternlieb: Yes. No, we were really pleased with the progress that our team made on DTA and both the integration and obviously, the commercial synergies. They had an excellent quarter. I'd say orders have been robust. Our backlog has expanded as we've implemented our strategy to cross-sell their solutions to the existing, I'll call it, Enerpac-base of customers and also expand their sales beyond their traditional stronghold, which, of course, was Europe. So a lot of the growth opportunities that we've seen have been in the U.S. market. And that's where I think we see a lot of the lead activity and a lot of the upcoming order activity as well. So they posted a pretty strong Q4. Obviously, that's ramped throughout the year. And I think that's just a testament to the strong work that our team has led in conjunction with DTA on driving more efficient manufacturing process, improvements and bringing our supply chain expertise to bear to DTA. So we're really pleased. I think the investment thesis is truly playing out as we expected, especially from a commercial synergies perspective.
Operator: Your next question comes from the line of Daniel Moore with CJS Securities.
Dan Moore: You gave good color, and so maybe it's a little redundant. And I know you don't disclose backlogs per se, but just entering fiscal '26, obviously, Europe a little weaker, you just described that. Overall -- pipeline of opportunities, how would you kind of describe it relative to maybe how we entered the year, a year ago in fiscal '25? And any other color by geography would be great.
Paul Sternlieb: Yes. I can start. Darren can also add some color, I think. But Dan, I think our view is probably similar spot, frankly, where we started the prior year just from a macro standpoint. I mean, obviously, there's still a lot of uncertainty. While we have now seen the impact or at least the implementation of tariffs, of course, there's still a lot of uncertainty about where those will end up. I'd say most notably, obviously, with China in the current situation. So I think just given the uncertainty from a macro standpoint, we're probably in a similar spot, why? Our guidance is a bit wider range this year at 1% to 4%, just depending on the macro and how that plays out over the next 12 months. But I think at the same time, we have some reasons to be optimistic. Clearly, if the tariff policies do kind of get solidified, if interest rates continue to come down, those will help. And I think we're still pretty bullish and optimistic around the infrastructure market. We've seen really good progress there, a lot of projects coming online that our team has been supporting, some that we highlighted on our prepared remarks. So I think on balance, yes, reasons to be cautious, but maybe cautiously optimistic just as the macro situation plays out.
Darren Kozik: No, I think you're right, Paul. It's definitely the infrastructure vertical, Dan, where we see, really the build from an infrastructure perspective, that's both in the U.S. If there are bright spots in Europe, it's in infra and some of that defense spending, while the rest of that economy is a little bit slower. So that's where we're obviously dedicating resources and keeping our eyes on and looking for growth there.
Dan Moore: Absolutely. Good color on DTA and obviously, good progress there. Maybe just the cadence for your fiscal '26 outlook, Darren. I appreciate the color on margins for Q1. When we think about growth overall fiscal '25, up 1% organically, Q4 down 1% to 2%. So do we think of fiscal Q1 kind of starting off similar to Q4 or closer to the low-end of your full range? Just want to get a better sense for how you see things playing out for the first quarter or 2?
Darren Kozik: Yes. No, good question. I think just a reminder for everyone, from a business perspective, whether it be margins or free cash flow, a significant amount of that comes through in the second half of the year. You saw that this year, we'll see that next year. Margins in Q1, we'll see those tariff costs come through, Dan, as we talked about. So we will see pressure there. I think from a growth perspective, as Paul talked about earlier, a large part of the first half of the year will depend on Europe, right? We need to see some of that momentum come back. I do think we're positive on the Americas. So you saw good performance in the Americas and APAC. We expect that to continue. And Europe is a wildcard as we talked about. So that's how we see it play out. But I do think when you look at the comparables, we had a strong Q2 last year. So that will be a little bit tougher to lap, but I expect Q1 to maybe look a little bit more like Q4.
Dan Moore: That's helpful. And then maybe sneak in one more. Just obviously, really good progress continues on SG&A. Just talk a little color around the assumptions for gross margin as well as SG&A embedded in the '26 guide? And I'll circle back for any follow-ups.
Darren Kozik: Yes. We don't specifically guide per line item, Dan. How I think about it is our gross margins kind of the last couple of quarters is where we're sitting. I think we're comfortable with that level. We do continue to work on the Service business, that's a key piece of this. As that continues to improve, there could be some upside there in the second half of the year from a gross margin perspective. And really on SG&A, we are laser-focused on that. You saw the benefits of that in Q4. I mean our SG&A as a percent of revenue was under 25%. A lot of that is driven by volume leverage. So as we think about the first half of next year, that will ride up a little bit, but that will come back down in the second half as volume plays-out. I think that's a little bit of the guide we start to think about both lines in the P&L.
Paul Sternlieb: Yes. And I would add to that comment, Dan. I think you'll recall in Q3, we announced a smaller restructuring program. We really didn't see any impact, nor did we expect to see that in Q4 benefit yet, but we'll see that play-out through the course of fiscal '26. So that will be some benefit for us on SG&A as well. And then I think Darren is right-on gross margin. But I would say, over the midterm, we still have ample opportunities through PEP, Power Enerpac Performance to drive continued improvement in terms of conversion costs, in terms of sourcing and material costs. Frankly, even footprint, we continue to look at opportunities there. Obviously, there's some longer pole in the tent items that take time to execute. But I think we still feel very good about the funnel of initiatives that we've got, based on COGS and obviously impacting gross margin in the midterm.
Darren Kozik: Yes. And just to circle back, Dam, we think of the 1% to 4% organic growth as another year of beating the market and share gain, and that's the premise. We have been doing that, and we believe we can continue to do that with the products we have.
Operator: Your next question comes from the line of Steve Silver with Argus Research.
Steven Silver: In the prepared remarks, it sounded like the outlook for M&A maybe sounded a little bit more bullish compared to some recent quarters. And in the past, I know you guys have talked about the philosophy of acquiring high-quality and performing businesses not really looking at distressed or turnaround situations. So I was hoping you could provide a little color in terms of what the thinking is for the more constructive outlook on M&A? Whether it's just more the strength of Enerpac's balance sheet or any other competitive landscape changes that you're seeing?
Paul Sternlieb: Yes. Sure, Steve. Thanks. Yes, I think we remain pretty busy on the M&A front. We're spending a lot of time and energy and resource there. Certainly, from a balance sheet perspective, obviously, very healthy with a lot of capacity and financial flexibility. And as we've remarked, we're retaining effectively a lot of dry powder to do things inorganically and sort of strike when the iron is hot. If I reflect on the past few years, I mean, we've looked at certainly a lot of interesting opportunities. But I think fundamentally, on majority, valuation has been an issue. And we've always said that we will not overpay and certainly, we'll walk away from things that don't create value for Enerpac and our shareholders. That said, I think looking forward, I'm pretty encouraged by our funnel of opportunities. I would say that, that has picked up pace. It continues to grow nicely. We've also augmented our resources from an M&A standpoint to expand the number of targets in our funnel, as we head here into fiscal '26. And I think just the pace and the quality of deal flow overall has picked up, I would say, considerably in the past couple of quarters, and we continue to have very robust dialogue with any number of opportunities. So it's at the forefront of our work and thinking. But certainly, we remain extremely disciplined in our process with not only strategic, but obviously, a financial and returns lens as well for our shareholders.
Steven Silver: Great. And one more, if I may. So APAC was really a key growth driver in fiscal '25 with the high single-digit growth. Curious as to what proportion of that growth was seen from the second brand strategy and really as you're entering fiscal '26, the outlook for continued growth in that second brand strategy?
Darren Kozik: I think from a couple of pieces to talk. I'll talk to the geography and then turn it to Paul to talk about kind of the branding and second brand. Like what you heard in the prepared remarks is we had a fantastic year in India. That continues to be a double-digit growth geography for us. We continue to invest there, more sales coverage, and we're seeing great returns out of India. I'd say the second piece is we did see that return in Australia, specifically in the mining sector. So there was bullish growth coming out of both of those geos, which really helped, and we see a bright future of both of them in FY '26 and beyond.
Paul Sternlieb: Yes. And Steve, I would just comment on second brand specifically. Obviously, that's an initiative, that we launched now a couple of years ago. It's certainly we view as a long-term initiative. Year-over-year, we continue to see growth and good progress. But I'll just remind folks, I mean, it is a limited number of SKUs. We're talking in the mid-200s range versus obviously tens of thousands of SKUs for Enerpac. That said, we did see growth. We expect to see continued growth in the second brand, particularly in Asia Pac here in fiscal 2026. And part of that will be, as we expand distributors and channel partners for the second brand. We continue to do that in second half of fiscal '25 and going into '26 here. And then also, we are adding some additional product lines in fiscal '26 or SKUs or different product categories, to that second brand. So we expect that to help us drive growth. But part of it is also a long-term investment in marketing appropriately for that brand, the LARZEP brand, so that becomes more well known in the region. But we're pleased with the progress that we've made so far.
Operator: [Operator Instructions] Your next question comes from the line of Daniel Moore with CJS Securities.
Dan Moore: I appreciate the comments on the M&A outlook. Obviously, balance sheet extremely strong and cash flow is only going to tick higher. Just talk about with the stock pulling back here, your -- maybe if not the cadence, willingness to be a little bit more aggressive in terms of redeploying the $200 million repurchase authorization and how you're thinking about balancing M&A versus buybacks here in the near term?
Darren Kozik: I think as we've talked about really from a buyback perspective, we're opportunistic. Q4 is a perfect example of that. We saw window. We were able to invest back in ourselves and that was the largest repurchase we've done since the relaunch of Enerpac. But we will take advantage of those opportunities, Dan, when they're out there. In the absence of that, we continue to really push hard on M&A. DTA is now behind us. It's integrated. You've seen the success we can drive with that. I mean nothing better proof positive than what we did in Q4 with DTA. So we will balance them equally. But if there's opportunities from a repurchase perspective, we'll take them when we see them.
Paul Sternlieb: Yes. And I would just -- I'd echo Darren's comments. I mean, obviously, as we said, it's always balanced capital allocation approach. First priority is investment in the business. We feel we've done that and are continuing to do that. We referenced in the prepared remarks, a number of cases where we've made capital investments in manufacturing and IT to drive further productivity, efficiency, support, stronger growth engine for the business. And then certainly, a heavy focused lens on M&A, but with a very disciplined approach. But at the same time, we are pleased that our Board authorized a new $200 million share repurchase authorization. So that does give us, obviously, the go-ahead to, as Darren said, be opportunistic when we see that the stock is, in our view, undervalued in the marketplace, and we'll continue to do that throughout the year where it makes sense.
Dan Moore: Really helpful. And just on the M&A front, you gave a lot of color, but are you seeing potential sellers now willing to come back and have dialogues at rational multiples? I guess, obviously, early days of the tariffs, a lot of uncertainty kind of put things on pause. Are you seeing that -- those discussions open back up a little bit?
Paul Sternlieb: Yes. I don't know it's so much that, Dan. I think it's a mix. I think we're seeing a lot of newer opportunities come into the funnel that are really interesting to evaluate. Again, obviously, they have to pass muster in terms of strategic and financial returns criteria. But we continue to have dialogue with folks that we have in the past as well and situations may change there. So I think it's really a mix. But I would say, broadly, our team has done a really nice job at sort of priming the funnel with a lot of newer interesting opportunities that we've been evaluating.
Darren Kozik: The only thing I would add is obviously... I was going to say, Dan, we're obviously investing more resources from an M&A perspective. We talked a little bit about that. We do see opportunities opening, and we want to be ready when they're there. So we are making that investment back to find the right deals for the company.
Dan Moore: Perfect. Cortland-Bio, up again, mid-teens this year, 10% Q4. Just talk about the outlook and whether double-digit growth again is kind of reasonable and embedded in your guide?
Paul Sternlieb: Yes. I think we remain very bullish on Cortland. Obviously, it's in our other segment. It is our other segment. It's certainly not related to our core Tools business, but we definitely like the business a lot. In our view, really strong growth engine, margin accretive effectively for us. We continue to invest appropriately in the business that has exposure to high-growth end markets. We've got really blue-chip customers in that business. We continue to drive a strong commercial funnel, bring new products to market and ramp those commercially in partnership with our customers. So the business continues to perform well, and our outlook continues to be very positive on that business from a growth and margin perspective.
Operator: That concludes our Q&A session. I will now turn the call back over to Paul Sternlieb, President and Chief Executive Officer, for closing remarks.
Paul Sternlieb: Okay. Thank you for joining us this morning. And for anyone [ coming at ] CONEXPO or planning to in March, please reach out to Travis so we can show off our HLT and DTA technology at the show. We will also be participating at the Baird Industrial Conference in Chicago on November 12. And as a proud Milwaukee company, I'd be remiss if I didn't add "Let's go brewers". Thank you, and have a good day.
Operator: That concludes today's conference call. Thank you all for joining. You may now disconnect. Everyone, have a great day.